Operator: Good afternoon. My name is Amanda and I will be your conference operator today. At this time, I would like to welcome everyone to the Allscripts third quarter 2010 earnings conference call. (Operator instructions) Thank you and I will turn the conference call over to Mr. Seth Frank. You may begin.
Glen Tullman: Hi. This is actually Glen Tullman. Thanks, Amanda. Good afternoon and welcome to the Allscripts fiscal 2010 third quarter conference call. This is Glen Tullman. I am the Chief Executive Officer of Allscripts, and joining me on the call today will be Bill Davis, our Chief Financial Officer; Lee Shapiro, who is President of Allscripts; and Seth Frank, our Vice President of Investor Relations. Today what we want to do is cover our performance for the third quarter, our view of the market, a business update, and then I'm going to ask Bill Davis to review our financial highlights from the third quarter, and provide an update on our guidance for the remainder of fiscal 2010. We, of course, will also leave time for your questions. But let us go ahead and begin, and I am going to ask Seth Frank to read our Safe Harbor statement. Seth.
Seth Frank: This presentation will contain forward looking statements within the meaning of the Federal Securities laws. Statements regarding future events, developments, the company's future performance, as well as management’s expectations, beliefs, intentions, plans, estimates or projections relating to the future are forward looking statements within the meaning of these laws. These forward looking statements are subject to a number of risks and uncertainties, including the volume and timing of systems sales and installations, the implementation and speed of acceptance of the electronic health record provisions of the American Recovery and Reinvestment Act of 2009, and other factors outlined from time to time in our reports filed with the Securities and Exchange Commission, to which you should refer, including our 2009 annual report on Form 10-K available through the website maintained by the Securities and Exchange Commission at www.sec.gov. The company undertakes no obligation to update publicly any forward looking statement, whether as a result of new information, future events or otherwise.
Glen Tullman: Thanks, Seth. Our third quarter results were very strong across the board. I'm pleased about where we are today in our position to capitalize on the market going forward, and I couldn't be more proud of the performance of our entire organization. We delivered across every metric we measure. Bookings for the third quarter were $105.5 million, up 25% year-over-year and a new sales record for the company. This result is in sync with the increasing demand we have described to you on previous quarterly calls. Total non-GAAP revenues were $180.4 million, a testament to our growing ability to implement in a more rapid and higher quality way, and it is worth noting that approximately 63% of those revenues were recurring in nature. Non-GAAP earnings for the quarter totaled $25.6 million, which equates to about $0.17 per share, demonstrating as Bill Davis will describe later in this call our ability to invest, while at the same time operating efficiently and profitably. Overall, a great quarter for Allscripts. While I am very least with our continuing progress, our growth in bookings, revenue and operating profit in our business, I am even more excited about the results we are delivering for our clients. In a market where meaningful use is now the measure, leadership will be defined by whether or not physicians and other caregivers are actually using the electronic health record. This is where we believe Allscripts leads the market today and will continue to lead. We have more physicians live on an electronic health record than any other ambulatory EHR company. And our clients are saying that utilization of our solutions has become central to their ability to deliver high-quality healthcare services every day. If you want to hear from our clients directly go to www.allscripts.com/gov to see over 100 examples of how our clients are using our solutions to improve the quality of care they deliver and better managed cost, yielding a very significant to turn investment for their organizations. This is what we call best demonstrated practices, which is not theoretical any longer, it is real and our clients are telling the story for us. Our leadership was also on display at HIMSS, the largest trade show in healthcare IT that took place in Atlanta early last month. 28,000 CIOs, physicians, practice managers and other health care professionals attended. We were excited by the attention we received at HIMSS, and we were not the only ones to notice. In fact, we read in reports published after the conference and heard from many of you on the call today that Allscripts and the Allscripts’ booth was the busiest on the exhibition floor. More important, it was the most HIMSS in our history, and we exceeded our performance goals for meeting, demos, booth visits, and event attendance. I like to acknowledge one of our blue-chip clients, Bill Spooner, Chief Information Officer of Sharp HealthCare in San Diego. Bill was named CIO of the year by HIMSS, and on the day of the award ceremony he shared the story of Sharp’s recent upgrade to version 11 of our Enterprise Electronic Health Record, including a big bang implementation of the orders module for over 400 physicians and 2000 total users. Sharp’s physicians and staff are now facing 100% of their lab, radiology and cardiology orders electronically using our electronic health record, a really great example of meaningful use and also what can be accomplished by a world-class healthcare organization with a strong leadership and a commitment to success. Speaking of meaningful use, let me say a word about the market in where we are. As Bill Davis and I have conveyed, we continue to expect that each quarter will be better than the last in terms of interest in and demand for our solutions. We believe checks from the federal government to physicians, which begin arriving in 2011, will compel even more participation in the program, and we will be ready for it with Rx certified products, marketing, our direct sales engine, our well-trained channel, and scaled up deployment capacity. Each step adds more comfort and certainty to more potential buyers. For example, the final rules for both meaningful use in certification, along with the list of organizations designed or designated to certify electronic health records will be finalized in the May-June timeframe. Physician groups have now begun to change their focus from meaningful use to finding the best long-term partner, and this increasingly means Allscripts. There are several reasons for this. First, our client footprint which serves as both a competitive advantage, demonstrating the quality of our solution as well as an example of how we successfully deployed our solutions. It also provides a great source of client references. Second, the Allscripts stimulus program, which includes no payments for six months finance package that bridges the need for out of pocket expenditures until the government incentive kicks in. And third our Allscripts stimulus guarantee that our products will meet certification criteria. The bottom line, physicians assume top companies will be certified, and now they are looking for partners. As you can see from our booking results, our sales engine is delivering exceptional performance through direct sales and through distribution channels. We have had excellent success in our core markets of large hospitals and health systems many of whom are leveraging the (inaudible) plus the catalyst of stimulus dollars to strengthen relationships with their affiliated physicians in their community. One example is Hospital Sisters Health System in Illinois. Hospital Sisters selected our Enterprise Electronic Health and Practice Management solution for their 130 employed physicians, and they are also offering our integrated solutions to more than 3300 independent physicians affiliated with their 13 hospitals. We also continue to leverage our client relationships, and the breadth of our full solution as we cross sell to health system clients. For example, we announced in early February a new agreement with Newhealth [ph], a 1200 bed Long Island, New York hospital system that had been a user of our care management product. Now in an agreement valued at over $5 million, Newhealth will deploy our enterprise EHR and Practice Management solution to their 85 specialty clinics, along with our Emergency Department information system for Nassau University Medical Center. This relationship bridges the gap between inpatient and outpatient care. Today we announced another example of the appeal of our full solution suite, Parkview Health System in Indiana. Parkview in an multi-million dollar agreement selected enterprise EHR and Practice Management for 170 of their employed physicians with an additional 280 licenses for their affiliated physicians and for future growth, and Parkview will deploy our Emergency Department information system in six hospitals. Parkview is also an example of cross sales into our base of legacy license practice management clients. Now we are also seeing acceleration in the adoption of electronic health records among small mid-sized physician practices. In the third quarter, we saw solid increases in MyWay deployments as well as a major up tick in sales of Allscripts professional EHR. We are pleased with our brand recognition in this segment. In fact, a recent medical survey of small and mid-sized physician practices found that Allscripts is “ clearly dominating.” According to the survey, which was published in February, an Allscripts product is number one on the list relative to practices that are evaluating new EHR systems as well as new Practice Management systems. The (inaudible) factor with clinicians is a major component of our success today, and will pay dividends in the future. In terms of execution we have a number of competitive advantages, beginning with the fact that over 100,000 providers practicing in groups of less than 10 physicians already have our Practice Management system installed and working. In a time of stimulus, practices want the fastest way to get the stimulus dollars with the least amount of change in risk. Ripping out their working practice management is simply a non-starter with most of our base when presented with the simple option of upgrading to an Allscripts electronic health record. Another example is our Allscripts distribution network, comprised of 800 plus experienced sales executives from major partners including Henry Schein and Cardinal Health to the largest and most respected distributors in the country, along with smaller but highly respected operations like Etransmedia, and the balance of the 50 or more working, distributors working with us nationally. This capability and coverage will be critical as the market heats up. When we talk about heating the market, I always like to mention our electronic prescribing capability. I think of this as the on-ramp to the electronic health care highway, and specifically to electronic health records. Allscripts recently surpassed the 100,000 user mark for our standalone Allscripts ePrescribe Solution, and we are on a path to eclipse 100 million prescriptions written by physicians using our software. ePrescribing utilization is an important measure of meaningful use, and these numbers confirm that Allscripts continues to be the most utilized EHR on the market today. These physicians also present an up sell opportunity to our electronic health records. And finally our Health Solutions business continues to perform exceptionally well with high recurring revenues delivered through our SaaS-Based Solutions. Client wins in the third quarter include Carolinas Health Systems with 29 hospitals, who selected our care management solution. Carolinas by the way owns AnMed Health, which selected our enterprise EHR for their 60 employed physicians and another 40 affiliated physicians. Another new client win is EMH Regional Healthcare in Ohio, who purchased our emergency department solution for two hospitals and one urgent care centre. What you see are more systems buying into our concept of a connected system of health, and the advantage of having a comprehensive suite of solutions to sell to these clients. Turning to operations, we remain laser focused on ensuring we are ready to take full advantage of the market opportunity. We are doing this in two ways. First, by bringing on exceptional talent, and second with systems and processes designed to scale. On the talent side, I want to welcome Richard [ph], who joined our team from Computer Associates, where he led a deployment team of over 2000 individuals. We continue to add top-notch talent to what a recent research report referred to as an industrial strength management team. And so people are one component and processes designed to scale are another. Our upgrade enablement center is a critical success accelerator. UEC as we call it provides a quick migration path for our legacy Misys EMR users. This 4-to-6 week process that clients protect their investment in software, while moving to our professional electronic health records. Several hundred client organizations have already signed up for UEC’s services and we expect that number to continue to grow. We are planning to extend our UEC platform to upgrade Allscripts clients on all of our legacy EHR systems to ensure clients will be stimulus ready, and we continue to innovate with programs in response to key government initiatives. For example, our public sector team is engaging with the new regional extension centers or RECs, all 60 of which have now been named as of yesterday. These organizations were created by aura to help primary care physicians in small practices select and implement electronic health records. Our RECs team sole focus is to ensure that Allscripts is one of the primary EHR providers endorsed by these regional extension centers. While it is early in the process, we are very encouraged by the progress our team is making. So to sum it up, this was a great quarter for Allscripts across the board. I'm very proud of our performance and I feel confident that we are strongly positioned as a leader in the healthcare IT industry, and that we will continue to capitalize on an expansive market opportunity in our space. Now it may have Bill Davis to provide you with the details of the financial aspects of this quarter. Bill.
Bill Davis: Thanks, Glen, and good afternoon everyone. I will briefly highlight our financial results for the third fiscal quarter, and then we will discuss our outlook for the remainder of our year. Before we begin, I would direct you to the non-GAAP results and reconciliation table and explanation included in our press release to assist in evaluating financially comparable periods and adjustments to reconcile GAAP and non-GAAP financial metrics. In addition, we have made available supplemental financial data that includes previously reported financial information on a quarterly basis including GAAP and non-GAAP information. The supplemental data sheet in our press release can both be found on our website at Investor.allscripts.com. Allscripts reported very strong financial results this quarter from every perspective, including record booking, revenue, operating margins, earnings per share as well as cash flows. Bookings were strong, totaling $105.5 million in the quarter, reflecting a 25% growth rate when compared to the third quarter a year ago. Please note that Allscripts reported bookings conformed to our established definition of bookings, which does not include transaction fees. For those of you who follow Misys PLC they in fact do include transaction fees in their bookings definition, and if you were to include such transaction fees you would add approximately $35.4 million to our quarters reported bookings for a total of $140.9 million. As Glen discussed, our Q3 bookings were strong across our entire solution portfolio and we had exceptionally strong sales of new enterprise EHR deals, many of which were the community variety that we have discussed on this call and in prior press releases. We have also had excellent traction in both our professional EHR and MyWay EHR offerings. In fact this was our strongest quarter for professional EHR this year, which is sold principally to small physician practices. I also note that the competitive advantage of our sales footprint through both our direct and partnered channels with strong focus on end-user adoption contributed to our strong results in the quarter. Our Health Solutions Group business, which includes our emergency department, care management and discharge management solutions also produced very strong results. On a year-to-date basis, our bookings were up 28% versus the first nine months of fiscal 2009, illustrating strong results that reflect the rising tide demand environment we are witnessing, combined with Allscripts formidable position in the market place. In terms of bookings mix, approximately $22.9 million or 22% of our third quarter bookings relate to software as a service or SaaS transactions that will be recognized as revenue over approximately the next 48 months. This dollar amount is essentially flat versus Q2 of this year. Please keep in mind that this quarter’s strength – that our quarter’s strength in enterprise and professional EHR sales are principally license transactions. Therefore lowering the SaaS mix slightly. Year-to-date SaaS bookings grew to $70.2 million or about 24% of bookings for the first nine months of fiscal 2010. Our view remains that up to one third of our bookings within the next few years could result from SaaS deals, especially as we see a larger mix of bookings from smaller practices that will favor a SaaS based model for purchasing an EHR. Turning to backlog, we ended the quarter with approximately $747 million in reported backlog. Our backlog is an important barometer and positive indicator of our quarterly visibility. Approximately 74% of our backlog this quarter consists of future revenue from reoccurring sources, which includes maintenance, our SaaS contracts as well as transaction fees. Backlog totals for the third quarter are as follows, approximately $194 million of clinical software and related services fees, approximately $163 million of subscription and SaaS fees, $246 million of annual maintenance fees that are expected to be recognized over the next 12 months, and finally, approximately $144 million of transaction fees which principally consist of EDI transaction fees and again are also expected to be recognized over the next 12 months. Looking at our income statement, revenue in the quarter was $179.9 million and $180.4 million on a non-GAAP basis. Importantly Allscripts revenue growth accelerated significantly in the third quarter as non-GAAP revenue grew 16% versus the prior year periods, a 6% sequential growth when compared to the second quarter. A standout for us this quarter was system sales or revenues rather, which grew nearly 61% year-over-year, a powerful testimony to our success by offering a leading portfolio of innovative solutions to every segment of the market. We shipped significant quantities of software and hardware in the third quarter. Systems revenues also benefited from several of our larger enterprise engagements, making good progress with their implementations, which as you know drives systems revenues given we recognize such revenue on a percentage of completion basis. As a result of the strength of our sales – of revenue in the quarter, Allscripts reoccurring revenue was approximately 63% in the quarter versus 67% in the second quarter as we added new license clients to our installed base. Regarding our professional services, revenue grew year-over-year, but declined sequentially due largely to expected seasonally lower utilization, which is typically incurred during the month of December and in early January. As you know, there are fewer days to implement and train during the holidays, as well as a typically higher level of paid time off of our implementation resources. As a result, utilization and therefore gross margin declined somewhat in the quarter versus Q2. It is worth noting the swing to positive gross margins of 13% in the third quarter versus negative margins a year ago, illustrating improvement in overall service executions. We expect a seasonal rebound in services revenue and margin in the fourth quarter. Further out, we anticipate that the operational initiatives Glen discussed, including the upgrade enablement center and enhancements to our training, plus product innovations that improve the speed of deployment will benefit us here as industry demand continues to accelerate. Turning to our recurring revenue streams. Maintenance revenue grew approximately 11% year-over-year, reflecting price adjustments to long-term maintenance agreements and growth in our installed base of clients. Transactions and other revenue which consists of revenues from our payer path revenue cycle management, as well as transaction processing business, plus ePrescribing and SaaS revenue grew approximately 7%, reflecting growth in volumes and a steady increase in our recurring SaaS client base. While we were pleased with the up tick in system sales in the quarter, please keep in mind that our long-term revenue model contemplates that our overall revenue growth will reflect an increasing mix of SaaS transactions and smaller practices on the subscription basis, and enterprise revenue from larger physician practices, both of which take longer to convert into revenue. Looking now at margins and expenses, non-GAAP gross margin percentage for the third quarter was 56.6%, down slightly from Q2, but up 200 basis points year-over-year. The year-over-year improvement in non-GAAP gross margin is largely due to the improvement in our professional service operations, as well as higher mix of license sales in the quarter. Overall, we continue to expect gross margins to track in the mid-50s range for the immediate future, and we will likely see some level of fluctuation quarter-to-quarter depending on our revenue mix. GAAP operating expenses were $69.8 million for the quarter. Non-GAAP operating expenses before stock based compensation of $4.3, and deal related amortization that is classified in our operating expenses was $2.5 million, was approximately $62.9 million in total, up slightly compared to $60.5 million in the second quarter. Most of the sequential increase in operating expenses was due to the planned R&D expenditures as we discussed with you last quarter. Our gross R&D expenditures year-to-date, including new product development, is over $56 million before software capitalization, putting us on target for our anticipated 70 million in R&D investment for fiscal 2010. Operating margins on a GAAP basis were approximately 17.7%. On a non-GAAP basis operating margins were approximately 21.1%, which excludes total deal related amortization of $5.6 million, of which 3.1 million is included in our cost of sales. This compares favorably with second quarter non-GAAP operating margin of approximately 20.6%, an increase of 50 basis points. Capitalized software was approximately $4.9 million in the third quarter, bringing our year-to-date total to $13.4 million or approximately 24% of our year-to-date total R&D spend. Our capitalized software expense will continue to fluctuate somewhat on a quarter-to-quarter basis based on our product development schedule. Usually these investments in innovation will continue to pay important dividend as stimulus approaches, widening the gap between Allscripts and our competition, maximizing the significant growth opportunities by making sure our clients are indeed stimulus ready. Our GAAP tax rate in the quarter was approximately 41%, an increase from the 40% rate we recorded in the second quarter. We continued to anticipate a full year tax rate of approximately 39% and have used this rate for non-GAAP purposes. The anticipated reduction in our effective tax rate will largely be driven by the completion of our research and development tax credit study in the fourth quarter. GAAP net income for the quarter was $18.5 million. After adjustments, non-GAAP net income was $25.6 million compared to $21.7 million in the third quarter of last year, or representing 18% growth. On a per share basis, diluted earnings were $0.12 per share on a reported basis and $0.17 on a non-GAAP basis. EPS on a non-GAAP basis grew 21% year-over-year. Allscripts ended the quarter with approximately $117.7 million in cash and marketable securities, a net increase of $27.2 million from $90.5 million in the second quarter. Cash flow from operations was the strongest in corporate history, $46.5 million in the third quarter. We reduced our long-term debt by $10 million. Please note the balance of the $14 million was in fact paid off in March. As we indicated in our second quarter call, accounts receivables increased $24 million $179 million versus the second quarter. This increase is due to our annual maintenance billing that occurred in late January and early February, and is offset by a corresponding increase in our deferred revenue. Such maintenance revenues will be recognized into revenue over the course of calendar 2010. As a result, our DSO increased to 91 days from 83 days and will return to historical levels starting in the fourth quarter. Finally, we ended the quarter with approximately 2358 employees, which compares to 2307 at the end of the second quarter as we added additional staff to R&D, support as well as sales. In summary, as we enter the early part of our fourth quarter, we're very excited about our accomplishments for the third quarter and nine month period. This is particularly notable as we continue to invest significantly near-term to our future growth, which we expect will be significant and which will play out over the next several years as the Federal stimulus program approves the majority of physicians to adopt EHR technology. We believe that if demand rises, we will be well positioned to leverage our investments, to realize the full benefit of our footprint for clients, employee, as well as our shareholders. Before I turn to guidance, I do want to re-emphasize several key messages. First, we expect to see a continuing steady increase in demand for electronic health records and related technologies. With acceleration in buying by small physician groups, more notable at the end of calendar 2010. Small physician groups constitute at least half of the practicing physicians in this country, which means that we anticipate higher deal volumes and smaller values a good deal as volume patterns shift. As I mentioned earlier, as part of this shift, we expect to see an increasing mix of SaaS bookings and subsequent revenue, which will also improve our revenue trajectory as we derive higher visibility and a longer recurring revenue stream, while experiencing more balance short-term top line growth. Finally, our high mix of recurring revenue, approximately 63% of which is derived from maintenance revenue, SaaS agreements, and our transaction business together should continue to yield an overall mid to high single digit organic growth rate. So turning to guidance, with regard to revenue, we are raising our anticipated revenue for fiscal 2010 to a range of $700 million to $705 million. In prior guidance for fiscal 2010 for revenue was in the range of $680 million to $700 million. In addition, we are also raising our net income guidance to approximately $67 to $68.5 million, which equates to an EPS range of $0.44 to $0.45 per diluted share and non-GAAP net income expectation to a range of approximately $97 to $98.5 million which equates to an EPS range of $0.64 to $0.65 per diluted share. Our non-GAAP net income guidance contemplates approximately $22.6 million of acquisition related amortization, approximately $16.5 million of stock based compensation, $4.9 million of deferred revenue, and approximately $5.3 million of transaction related expenses, which were incurred through the first nine months, all on a pre-tax basis. For purposes of calculating the after-tax impact, we are assuming a corporate rate as we have in prior quarters of 39%. We also anticipate a share account for the year of approximately 150 million shares. Finally, while we do not typically provide bookings guidance, I thought it was important to note that our revised revenue and profit guidance at least $105 million in fourth-quarter bookings. With that being said, we believe that there is sufficient momentum in the marketplace that could result in bookings being as high as $112 million for the quarter. So with that, I would like to turn the call back over Glen Tullman for some closing remarks.
Glen Tullman: Thanks, Bill. Great news. We continue to believe that we are at the beginning of one of other fastest transformations of an industry in the history of the United States, and Allscripts is well positioned to capitalize on this opportunity. We often tell clients the time is now, and this has never been more true, not just for clients but also for investors looking to capitalize on this industry transformation. I want to conclude today’s call by thanking all of you for your interest in Allscripts and for taking the time to join us today, by also thanking our employees for delivering a great quarter and thanking our clients who allow us to be their partner in our quest to transform healthcare. We will now turn the call back over to the operator to take your questions. Thanks very much. Operator?
Operator: (Operator instructions) Your first question comes from Corey Tobin. Your line is open.
Corey Tobin – William Blair: Hi, everyone. Congrats on the nice quarter.
Glen Tullman: Thanks, Corey.
Corey Tobin – William Blair: Just looking for a little bit more details if you could on the breakdown of bookings, I guess if there was any color you can give us on sort of on the split between inpatient and outpatient bookings, or perhaps for the ambulatory piece of the bookings with the split between the clinical versus the practice management systems, or anything along those lines will be very helpful?
Glen Tullman: Yeah, Corey, we don't provide a whole lot of detail beyond the total. I think I have historically talked about the health system sales contributing in order of magnitude kind of 20% to 25% of our total bookings. I would suggest to you that third quarter, we didn't see a material change in terms of that mix. As I mentioned, beyond that within the ambulatory space, we were very pleased with our bookings performance across the entire spectrum, all of our products and our resultant channels did very, very well. So we are very pleased with the high, middle, and the low-end. I will comment on the practice management. There too we are also encouraged by the attach rate in terms of practice management sales, most notably in the mid-market, the low-end of the market. But from a mix perspective, you know we didn’t see any material shift, just in terms of what that was on the PM [ph] side.
Corey Tobin – William Blair: Okay, great. One other one if I could, Glen just following up on your comments regarding the end market momentum, is it safe to say as you see the end market building, can we translate your comment into a one that we should see a sequential increase in bookings each quarter going forward, or should we more just think about momentum in the end market and bookings that could be volatile?
Glen Tullman: Well, I think Bill and I have been consistent Corey in saying that we see the demand – the interest in and demand for our products continuing to accelerate each quarter. So we don't see that being volatile in any way. We see a continued increase in demand and I think that was reflected in Bill’s guidance to the market, where he said that while we expected a slightly lower number, we're comfortable with giving a higher range on that bookings number based on what we're seeing, strength at HIMSS, strength in buying signals and the like. So we continue to see this nice, steady solid up tick in the market quarter-to-quarter, and we have been consistent in saying that.
Bill Davis: Yeah, I think Corey the only call out I would make in terms of just thinking about the sequential dynamics is the contribution that comes most notably from the enterprise side, you know, as the business as we have said in many quarters in the past, predicting some of those enterprise deals to a specific quarter given their order of magnitude. Some of the deals being in the range of $5 million to $10 million, they in fact introduce some level of variability from quarter-to-quarter. But the baseline demand, we cannot agree more with the comments that Glen made. We clearly feel that we are in a rising demand environment, but I just would caution you in the context of some of the enterprise contribution on that – on that score.
Corey Tobin – William Blair: And to potentially state the obvious, as it safe to assume that that should extent well into fiscal 2011?
Bill Davis: I mean again that the only call out there, and I tried to highlight it in my script is that as you shift towards medium to smaller sized practice, clearly the deal volume is expected to increase but the average deal size, just because it involves a fewer number of physicians is naturally going to decline. So I just would caution you to really think about it in the context of deal volume not just in absolute dollars.
Corey Tobin – William Blair: That is good. Great.
Bill Davis: Thanks, Corey.
Operator: Your next question comes from Atif Rahim. Your line is open.
Atif Rahim – JPMorgan Chase: Okay. Thanks. Bill and Glen, I think at HIMSS, you saw a significant increase in the number of EMR vendors present there. Are you seeing anything on the pricing environment, any pressure there or how do you see that, particularly on the SaaS side?
Glen Tullman: Yeah, this is Glen. A few thoughts, we haven't seen that again as I mentioned in my comments, what is becoming more and more important to people is selecting a vendor who can deliver. They can have confidence that number one, they are going to be here; number two, they know how to get you to meaningful use, which is another proxy for saying, get me to the money; and number three, they want to partner a long-term that is going to innovate. Now, it is interesting, we are seeing less and less questions on will you be certified for meaningful use, and more and more questions are, can we get you on blackberries and iPhones and Windows mobile devices, and now the new tablet from Apple. They want to know about innovation, they want to know you were going to be here. Relative to the smaller players from SaaS, remember that most physicians, we talk about software as a service, they don't think about technology. They say can you bill me monthly. This is not it would be akin to somebody saying on your cell phone, what switching network is AT&T or Verizon using. They want to know if it is going to work, and either they will have a client server, is it hosted, is it SaaS. They just want to – they want a simple way to buy. So that is what we are seeing out there. In terms of the number of vendors, we continue to believe that there is a consolidation that is happening, and based on the number of folks showing up on our door each month trying to sell themselves, we think that that is happening more and more rapidly. So I think you are going to see the larger players take more and more share, and they already have a substantial share.
Atif Rahim – JPMorgan Chase: Okay. And then I have follow up, are you seeing any replacement market developing, particularly are you displacing any existing EMR vendors on the deals that you sign?
Glen Tullman: Absolutely. You know, of the electronic health records vendors out there, there is two things going on. One, you see some of the vendors that are out there won't be able to meet meaningful use. And so people are looking for more comprehensive solutions, and I tried to highlight that in some of my comments. You know, just this month if you look at Sacred Heart, for example, our win at practice management Sacred Heart came at the expense of one of our most significant vendors. Sacred Heart was one of their largest customers and we took it away. And actually, I said vendors, I should have said, competitors. So that was a big competitive win where we will be installing one of the common publicly traded vendors that we have in the midmarket.
Atif Rahim – JPMorgan Chase: Got it. Thank you.
Operator: (Operator instructions) Your next question comes from George Hill. Your line is open.
George Hill – Leerink Swann: Hi guys. Thanks for taking the call. Glen, a little quick yes or no question, has this market really tipped at, or do you think we are starting to see that?
Glen Tullman: You know, what we are saying – what we have said is each quarter we are seeing stronger demand and stronger interest. I don't think the market has tipped yet. I have said that when the checks start hitting, I think that is when we are going to see a real up tick in demand, but again we see a very strong continued growth in demand quarter-to-quarter going forward. So I don't think it is “hit yet,” but I do think we are starting to see some of the results of more physicians getting confident that the time is now.
George Hill – Leerink Swann: And I guess still, I just want to drill down and get a little bit more color, in a couple of the numbers you have highlighted, you talked about that single digit top line growth starting, is that at the end of calendar 2010, or should we think about it as a fiscal 2010, 2011, 2012 event?
Glen Tullman: I am sorry, George, you are a little muffled. I think your question was, my comment just about the onslaught of demand towards the end of calendar 2010?
George Hill – Leerink Swann: You know, when we should start looking for the single digit top line growth?
Glen Tullman: Well, again I think that – I think our guidance for this year is indicative of high single digit growth. You know, we will be prepared to provide our 2011 guidance on our fourth quarter call. To preview that a tab bit, in keeping with our bookings momentum to date and as we intimated in the fourth quarter, expecting that to continue that all naturally is going to translate into sustained top line growth. The only word of caution that I would give there is my comments around the SaaS mix and the shift that we do anticipate as these smaller practices take that on in a greater level than we are seeing today, you know that is going to have some impact just in terms of our top line growth expectation, but the benefit of that obviously it is going to improve our recurring revenue mix. But again, we are very comfortable that if you look at our booking performance to date, and convert that to revenue performance, we feel comfortable with whatever we have conveyed as our revenue growth trajectory or expectations to the market.
George Hill – Leerink Swann: I think I have got a handle on that dynamic. Gross margin, you talked about it hovering in the mid 50s this year. Is it safe to assume, I know you don't want to speak too much about the next fiscal year, is it safe to assume that number should probably continue to pick up with the number (inaudible) for fiscal 2011?
Bill Davis: I really would hesitate to get into 2011 guidance at this point. I would just say on gross margins, but then I would just encourage people to follow the guidance that we have provided, and as some of these initiatives are ready – the ready initiatives in the UEC and the like, that is going to – it is going to start to express itself, and quite honestly I would like to show some demonstrated success before we translate that into future projections for the market. But I would just stay tuned on that product.
George Hill – Leerink Swann: And I guess last quick one for Glen, before I hop offline, Glen (inaudible) report that came out this week highlighting kind of the same thing that the other survey that you say highlighted, you guys definitely have a dominant mind share from an RFP perspective, what can you do to increase the run rate?
Glen Tullman: Again, we are I think to talk to Jeff Surges, who heads our sales operations, we have a number of targeted initiatives that we are focused on win rate. The good news is that all the surveys are saying two things. One, we are the most considered solution and two, within our own base, the Misys space, that the most recent survey said, a 100% of the people they surveyed, indicated they were going to stay with their existing vendor and that was us. So, very, very strong news from that perspective. In terms of win rate, we have very targeted programs, and I would rather go with saying, I would rather talk about after we increase the win rate then telling you exactly and telling our competitors exactly what we are going to do, but suffice to say that our objective is to win more than our fair share of the market and you know, we're looking to expand our market share. So we are going to be very aggressive.
George Hill – Leerink Swann: Great. Thanks for that.
Glen Tullman: Thank you.
Operator: Your next question comes from Sean Wieland. Your line is open.
Sean Wieland – Piper Jaffray: Hi thanks. My questions are on the seasonality of bookings. Historically, you guys have done closed to a third of bookings in the fourth quarter, is something this year making that change or is that still consistent?
Glen Tullman: Yes, Sean, and that was the very reason why I gave, I think more guidance than I would typically do around this fourth quarter in terms of booking expectation. So, again I would really encourage you to follow that just in terms of what we convey. But I think the dynamic that play here it is again couple of factors. One is the timing of some of these larger enterprise, you know, transactions. We talked about our first quarter benefiting from North Shore. We talked about the fact that our third quarter benefited from Catholic Health. We’ve purposely gotten out of the business and trying to predict future large enterprise deals in any particular quarter, so they often serve, you know, as meaningful outside to our expectations, but that’s a major contributor just thinking about our first three quarters performance and how that might translate to the fourth quarter. Secondarily, you know, this is a business that has gone through a change in fiscal periods. You know, last year was the first fourth quarter that ended in May, and so I don't think one experience defines a trend, and so I really want to remain cautious until we kind of see how that plays out. The third consideration is a mixed consideration. We do as we’ve said, you know, believe as we move into the second half of this year, you know, you're going to start seeing movement towards the low-end of the market. There is a possibility that could you know, accelerate somewhat. So that's another you know, contributing factor for what I believe to be kind of prudent guidance in terms of you know, fourth-quarter expectations that we outlined.
Sean Wieland – Piper Jaffray: Okay, great. Thanks a lot.
Operator: Your next question comes from Jamie Stockton. Your line is open.
Jamie Stockton – Morgan Keegan: Thanks for taking the question. I think they are both oriented towards what is going to drive that acceleration on the low-end of the market. I think probably one of the biggest programs out there for the regional extension centers, can you give us any more color on when you think those are going to kick in. In fact there is a pretty large and growing group of physicians that they are building, and they are just kind of trying to figure out the shortlist of EHRs that are going to position to that base, can you talk about that?
Glen Tullman: Sure. Well, again and it is something that we kind of anticipated there will be a question, and that's a very good one. The regional extension centers, the last group of which were selected yesterday, another group of which were selected yesterday with millions of dollars more allotted to that program is something we are very focused on. As you know, the way the program works is for every physician, there is $5000 set aside and that has broken up into three tranches. The first third is given when the physician signs up with the regional extension center. The second third of that 5000 is given when that physician is trained, and the last third is given when that physician gets to meaningful use, and each of the regional extension centers is likely to select two or three different providers of software vendors that they will train for. So right now we are spending a tremendous amount of time working with the regional extension centers making sure that they all are aware of our offering to the support we provide, and most important again you know, when you talk about competitive advantage, if your regional extension center, the question is how do you get paid as quickly as possible. If you go to a user that doesn't have an electronic health record but also doesn't have a practice management system, you got to install practice management first, and that takes a lot of time and that is a delay relative to getting the money. So what they especially appreciate about Allscripts is given that a third of the physicians in the country already have one piece of our software, and over 100,000 have our practice management systems, an easy route for them is to go to our base and say here we’ll overlay an Allscripts electronic health record on top of that, and they get them signed up, they get them trained and they get to meaningful use more quickly. So that's our strategy there. It's been working effectively and this market is moving real time. So, you know, again if you think about it what makes us unique stimulus guarantee, our distribution network, our brand which is that mind share, the current installation, which I just mentioned over 100,000 and lastly the portfolio because they want to do more than just use an electronic health record. So that's why we are going to win with regional extension centers.
Jamie Stockton – Morgan Keegan: Thanks, Glen. The other question that I had on the – well, I guess this could impact practices of any size, my guess is that it will have a disproportionate one on smaller practices, the ePrescribing number that you threw out, it sounds like it has grown a fair amount in the last few quarters. Can you talk about the transition from getting that physician from the standalone ePrescribing product to a full EHR, what is the general timing on that?
Glen Tullman: Well, you know, there is a very simple answer to that. Let me just use one example. If you're going from our electronic prescribing to our professional system, all of your data is migrated with one touch. So it is essentially a one touch migration that puts all of that data into our professional EHR. Again great work by our Chief Innovation Officer, Stanley Crane in making that happen. Then of course you got to go through the training and the good news is that same electronic prescribing which they are familiar with is the same electronic prescribing used in our professional EHR. So now there is that great crossover where they are familiar with the application, and the way most people start using an electronic health record is module by module. So in that case they adopt the electronic health record. They start ePrescribing and they add labs to it, and the next thing you know, you're going and you say you got to do orders, you do want to do notes, and they are already up and working with it. So it's a simple transition. So we see that base as I said the on-ramp, our director, our vice present of our investor relations like to say the on-ramp to the electronic health care highway, and you know, I think that's a good description.
Jamie Stockton – Morgan Keegan: Okay, thanks.
Operator: Your next question comes from Charles Rhyee. Your line is open.
Charles Rhyee – Oppenheimer & Company, Inc.: Yes, thanks for taking the question, just a question on the guidance here Bill, if I look at it and take the full-year guidance back out, looking at what the implied 4Q guidance is on the revenue line, is it fair to think, you talk about professional services ticking back up sort of for the seasonality. But when I look at the other buckets, is it fair to think, what we are really going to see is another pick up here in the systems sales?
Bill Davis: Yes, I mean again – yes, we’re without getting into too much specificity, I think that the, you know, we're not expecting anything unusual from a reoccurring revenue ramp perspective. So focusing in on service component and the systems sale component is absolutely appropriate.
Charles Rhyee – Oppenheimer & Company, Inc.: So, then – so if we look at then at the third quarter, and sort of the take down of the backlog, it looks like it has kind of sped up relative to the previous two quarters, and it looks like you are implying that accelerating again, you know can you talk about sort of what is going on structurally I guess in terms of implementation and your ability to recognize the revenue faster, and how does that, how should I think about in terms of honestly not talking specifically to guidance, but just generally as we look out into the future?
Bill Davis: Sure, there's two things that I would call out for you and I tried to, I tried to state this last quarter maybe not as directly as I should have, but you know, there is a natural lag in terms of our enterprise booking performance and when that starts to present itself from a revenue perspective, because on the enterprise we recognize on percentage of completion accounting. So there is nothing that we are doing anything different per se. It's just indicative of the fact that you're starting to see kind of the full effect of those transactions going into production, and us being able to recognize the revenue. So enterprise performance and backlog conversion point number one. Point number two is that Glen made reference to new leadership in the service organization. There is a renewed focus on really quite honestly aggressive backlog management and making certain that resource allocation is pointed in you know, moving clients forward within year towards you know, revenue optimization in that respect. So I think you're starting to see the early stages of some of that work and just see the entire backlog management under that new leadership. So those would be the two considerations, which both I think have a decent amount of sustainability to them.
Charles Rhyee – Oppenheimer & Company, Inc.: Is one having more influence than the other right now? I mean is it a function, is it simply like if I look back maybe three, four quarters you know to the fourth quarter last year, we had a nice sequential up tick in the license revenue, is that what we are seeing here in the third quarter this year. And so I should look at it that way or would you just say it is more the better management of the backlog in general?
Bill Davis: No, I would say – I mean, as it pertains to the third quarter I don't have the breakdown in front of me, but my recollection was is that it was largely due to the enterprise kind of dynamic, and again the build of the strong bookings over the last few quarters and that's starting to manifest itself in revenue take down and you're starting to see the early stages thus the smaller impact in some of the backlog management that I was describing.
Charles Rhyee – Oppenheimer & Company, Inc.: Okay that is helpful. Because I just wanted to make sure – to the question earlier about bookings, and you talked about you expect the sequential behind the bookings to generally be an upward trend. Should we see that translate pretty evenly down systems sales as well?
Glen Tullman: Yes, I mean, for the most part yes. There is a little bit of mixed consideration there on the margin that I would just caution you on just in terms of again how much of that fourth-quarter bookings you know, comes in the form of SaaS versus how much of it comes in the form of add-on sales to existing customers, and then how much of it is enterprise if this is going to go straight to backlog. So, you know, we feel like we've taken some conservative assumptions in that 105 kind of baseline that we talked about in terms of what we are needing. So to the extent we are wrong to the positive then there may likely be a little bit of revenue upside to what we are conveying.
Charles Rhyee – Oppenheimer & Company, Inc.: Great, thanks, and last question. You talked about over time you expect to get to maybe a third SaaS, I'm starting to see that up tick at the end of calendar 2010, how wrong we think it takes you to get there?
Glen Tullman: I think we are talking about several quarters. I think that you’re – you know, you’re well into calendar 2011 before we kind of hit that run rate level.
Charles Rhyee – Oppenheimer & Company, Inc.: Great, thanks a lot guys.
Glen Tullman: Okay.
Operator: Your next question comes from Richard Close. Your line is open.
Richard Close – Jefferies: Thank you. Can you hear me okay?
Glen Tullman: Yes, we can Richard.
Richard Close – Jefferies: Okay, great. Bill, just on the bookings and talking about you know, the timing of enterprise deals, I guess the fourth-quarter direction that you gave here on the bookings, should we imply that you know, maybe you know, the sizable deals that you took down in the most recent third quarter indicates that you know, maybe you guys haven't filled the pipeline with enterprise deals for the fourth quarter?
Bill Davis: No, I'm not conveying that at all. Let me make two observations. One is that I honestly believe some people have overstated the contribution of Catholic Health in the third quarter. Most notably as I mentioned I think on last quarter's call, you know, it has the potential of being as large as North Shore-Long Island Jewish. As you know, our booking definition is minimum contractual commitment. The reality is that Catholic Health contribution to our third-quarter results was about half of that of North Shore. So closer to about $5 million. I've seen several people publish numbers that were close to 2x that. So that's point number one. Point number two is that you know, from a pipeline perspective we remain very bullish in terms of the number of pipeline opportunities that we have on the enterprise side. When they get to be the more complex high dollar value what I said earlier is the fact that we really have gotten out of the business of really banking on those to deliver any one particular quarter. This fourth-quarter in particular, because again we’ve witnessed the circumstances where they don't materialize for one reason or another, and Catholic Health is a perfect example of that. I mean, that was one that had a real possibility of closing in our second quarter and it closed in the first week of the third quarter, and so really they way I would interpret our guidance is not that there is a belief that our pipeline is going down. Rather, we feel like we’re being prudent and not putting any undue reliance on any large deals and coming up with their expectations.
Richard Close – Jefferies: Okay, that's all folks. And then when you detailed you know, some pretty nice sized wins with the opportunity on the affiliated side, how quickly do you guys feel that you'll be able to penetrate those affiliated bases on all the wins that you guys have had over the last couple of quarters?
Glen Tullman: No, we are gearing up to do that. We are learning as we go. We've had very good success so far. North Shore-Long Island Jewish, you know, it always helps when an organization brings in a group of physicians, indicates to them that we’ll be either buying or subsidizing the application. They’ll be providing assistance and they’ll be providing connectivity, for example in North Shore’s case, and in some of the cases I mentioned today to all of the EER [ph]. As that starts to happen people are going to understand that having a connected system of health is critical from a safety perspective and from an ease of use perspective. So net-net you know, we think that in every case where we are getting these, whether it be North Shore, whether it be UMass, which is another great client, we are making real solid progress in terms of the numbers, and again what's nice from our perspective is if everything happened today that would be a problem we couldn't handle at all. So it's gearing up nicely as we are gearing up and, you know, I would describe that in the same way, Bill and I have described each quarter, which is each quarter we’ll get better incrementally better than the quarter before and there’ll be a nice build on that.
Richard Close – Jefferies: And then do you think they are going to be professional deals or MyWay deals?
Glen Tullman: No, that's going to vary depending on the market. In some case they were also both, and you know, some of these when they say affiliated practices, while most of them are small, if I use North Shore as an example, yet again there are two groups that had more than 50 physicians each that earned the initial tranche, and those groups will likely go with enterprise. There are other groups that are going with you know, with other of our applications whether it be professional or whether it be MyWay. And I would also mention that remember that some of the groups in these respective market area are brought ahead of the announcements. So they may have one of our systems. The good news is if you're buying Allscripts, you're going to be connected to the network, and that's reassuring to these clients because they want to be connected and you know, when you're talking about a network that’s already a third of the physicians in America, there is a lot of comfort that comes from that. Physicians like that security.
Richard Close – Jefferies: Great, thank you.
Glen Tullman: We will go ahead – we will take two more questions just to be you know, fair with people's time.
Operator: Your next question comes from Glenn Garmont. Your line is open.
Glenn Garmont – ThinkEquity: Yes, thanks. Glen. Just a quick follow-up if I could, as I think about you know, the small end of the market, you know, I can appreciate that, you know, that end of the market hasn't really heated up yet in earnest, but you know, what's the biggest obstacle at this point. Is it, you know, presumably the uncertainty around meaningful uses is starting to dissipate. Is it the economy, is it simply the fact that they have, still have a lot of time relative to large practices. What do you think is pulling them back at this point?
Glen Tullman: You know, it's a little bit of all of the above. Some of them are saying, I’ll wait until I see the first check from the government to believe it. Some of them are saying I’ll wait until I see whether any of the big health systems in our area are going to give this to me or give me assistance. Some of them are saying you know, I surely don't want to change my practice management system, and they have been approached by folks who are suggesting they do that. So they are waiting for someone like Allscripts to come along and say, you don't have to change your practice management system, and you know, and some of them are just facing a little bit of a wait and see. Hey, I still have some time. I am going to wait and see. I'm going to get started a little more slowly. So it is all the above, but that said every month, every quarter we are seeing more and more of them start to explore, start to get interested, start to see that you know, the number of practices around them are adopting. Remember, 163,000 practices have less than three physicians and you know, it's going to take some time but that's good news for us. You know, the other thing I'd say was a recent article in the New York Times, and it was interesting because you know, it actually featured one of the announcements today, Parkview, where some of their independent physicians had decided to actually join, you know, become a part of the larger integrated delivery network of health care systems in part due to automation. So it's pretty fascinating because one of the reasons the physician gave in the article was well they are fully automated, I’ll be fully connected, I’ll have all the information, and it'll be easier. So you know, that's also a factor, but net-net again I think the real message is the time is now, it is happening and every quarter it's going to get better.
Glenn Garmont – ThinkEquity: I appreciate the comments. All right, thanks Glen.
Glen Tullman: Okay, thanks. Last question.
Operator: Your last question comes from Greg Bolan. Your line is open.
Greg Bolan – Wells Fargo Securities: Hi thanks, and congrats on a great quarter. Bill, as it relates to the no payments program, can you describe kind of the advantages or disadvantages of dealing with the banking – your banking partner rather than possibly dealing directly with an individual client when it comes to the you know, visibility of payments?
Glen Tullman: Yes, I actually, about 25% of our professional MyWay transactions actually do involve third-party financing, and I’ve said to many investors, I would actually take a lot higher percentage of that, the simply reason being the surety of collection and ease of administration from our perspective is just that much better. We’ve gotten the thing down to a pretty decent size in terms of the evaluation of these customers from a credit perspective and really have ingrained it into our sales process in a very effective way. So we're very pleased with the program. It’s net positive to us again from an administration cash flow perspective, and we’d take more if it, if it was of interest to our customers.
Greg Bolan – Wells Fargo Securities: That's helpful, thanks, and then last one here. With regards to the recruiting environment, you know, first call it seasoned quota carrying reps, can you talk about the level of competition that Diane and her team are encountering you know, during possibly poaching [ph] expeditions, and how would you characterize your discipline with you know, kind of call it buying top talent?
Glen Tullman: Well, I think the good news, this is Glen, one, you know, in Diane Adams, we went out and got world-class talent to help us recruit talent, and so that's a great start. We aren’t doing a lot of poaching in any respect. You know, we are looking to hire in a few key areas, but you know, one of the initiatives we are undertaking is hiring a substantial number of college grads, and we believe with our ready systems and our upgrade enablement center that we can quickly train those folks to educate potential prospects in buyers. You know, similarly remember the RECs are going to be helpful in terms of training folks, but overall I think you know, Allscripts remains a very desirable place to work. We’ve won a number of awards for you know, top places to work in our respective communities that we operate in. The company is a very giving company from that perspective, and so I think people look to us and they like our locations. It's not like we are in the middle of Wisconsin or anything. You know, we are in you know, great locations to work in Raleigh and other places and we're doing a good job recruiting.
Greg Bolan – Wells Fargo Securities: That's great. Thanks guys.
Glen Tullman: Okay. Thanks to everyone, and again very much appreciate everyone joining us on the call. We couldn't be more excited about what we see happening in the market, and a special thanks to our existing investors, to all the clients that have confidence in us and to the employees who are making it happen every quarter. Thanks very much. We'll talk to you next quarter.
Operator: This concludes today's conference call. You may now disconnect.